Operator: Good day, ladies and gentlemen, and welcome to the Q3 2018 Nu Skin Enterprises Earnings Conference Call. [Operator Instructions]. As a reminder, today's conference is being recorded. I would now like to turn the call over to Scott Pond, Vice President of Investor Relations. Sir, please begin.
Scott Pond: Thanks, Mark, and thanks, everyone, for joining us today. On the call with me are Ritch Wood, Chief Executive Officer; Ryan Napierski, President; Mark Lawrence, Chief Financial Officer; and Joe Chang, Chief Scientific Officer. During this call, comments will be made that include some forward-looking statements. These statements involve risks and uncertainties, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statement. We believe these non-GAAP financial numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our Investor page at ir.nuskin.com for any required reconciliation of non-GAAP numbers. I'd like to turn the time now over to Ritch.
Ritch Wood: Thank you, Scott. Good afternoon, everyone. Thank you for joining us today. I'm excited to share with you an update on the encouraging results of our business in the third quarter. As we reported in our earnings release, this was a very strong quarter for us, with revenue of $675 million, up 20% over the third quarter of last year. This is the fourth consecutive quarter in which we have reported 20% or higher revenue growth. We also delivered strong earnings per share of $0.94, up 24% over the prior year quarter. As noted in our release, earnings per share included a $0.07 negative impact from a foreign currency translation loss and $0.04 of noncash expense related to acquisition accounting. Driving our results was the continued execution of our growth strategy, focused on increasing customer acquisition and retention through engaging platforms, enabling products and empowering programs. Ryan will provide more on the implementation of this strategy in a few moments. I'm especially pleased that we're seeing solid trends in all of our reportable regions, giving us confidence in the strength of our business and our strategy. We drove especially strong growth in mainland China, which grew 31%, in South Asia, which was up 21%, both benefiting from our successful ageLOC LumiSpa product offering as well as the success of social sharing initiatives. We were also encouraged to report modest growth in Japan, and we feel that the trends in Korea are improving. These are both very key markets for us. Our LumiSpa has become a true franchise player. Revenue from this device accounted for 11% of Nu Skin sales during the quarter, and we see this product continuing to be a catalyst for growth. It strengthens our differentiated device platform, which includes also the Galvanic Spa and ageLOC Me. Finally, our Velocity compensation program has now been introduced in the majority of our markets and is driving the behaviors we believe will generate long-term growth. Specifically, we're seeing accelerated customer acquisition, which is core to our strategy. Velocity launched in Korea in October and will be fully launched by mid-2019. We continue to move ahead with our vision to establish a powerful business platform. Our manufacturing partners continue to grow and give up increased capability to bring products to market faster and more efficiently. These partners contributed $26 million to the topline this quarter, and we're beginning to see benefits start to flow into our gross margin. I also want to quickly highlight Groviv, our controlled environment agriculture technology company. In the near future, we will announce our first product that incorporates ingredients grown with Groviv technology. This will signal to our customers that these ingredients came from plants growing in a clean, pure and sustainable environment, without the use of pesticides and using substantially less water and land than would otherwise be required. We are excited that this technology has developed to a point that it will begin to benefit our Nu Skin customers in the very near term. Our Q4 year-over-year comparison is impacted by $130 million in LumiSpa limited time offer sales in the prior year when we first introduced this product around the world. However, as Mark will discuss in a few moments, our guidance anticipates a local currency revenue growth of 5% to 8%, building on top of the 25% growth we reported in the prior year and a solid indication to the strength of our global business. Assuming this fourth quarter guidance, we anticipate delivering local currency revenue growth of 17% to 18% for the year. I am very pleased that we have returned our business to strong growth, and I believe our future is bright. While currency is causing a bit of a headwind and is having some impact on our overall margins, we see growing strength in the core business and particularly, in our customer and sales leader numbers, as we execute our growth strategy around the globe. I will now turn the call over to Ryan to provide more detail around our global business, and following Ryan's remarks, Mark will then address the specifics regarding our financial results and our guidance. Ryan?
Ryan Napierski: Thanks, Ritch. Good afternoon, everyone. As Ritch mentioned, we continue to execute our growth strategy centered around our three strategic pillars: Engaging platforms, enabling products and empowering programs. We reported growth in all of our regions as our foundation continues to get stronger, with sales leader growth of 14% and customer growth of 9%. This gives us further confidence in the direction of our strategy. Our strategy is enabling us to attract a broader range of both consumers and entrepreneurs, evidenced by a lowering average age of both, which is contributing to our increased performance across markets. We remain focused on each pillar of our growth strategy and continue to make progress as we implement it. For engaging platforms, we continue to leverage social media and focus heavily on social sharing to empower our sales leaders to acquire more customers. Social sharing is being incorporated into our business model in various ways around the world. For example, in China and in Korea, we're leveraging popular social platforms like WeChat and KakaoTalk to facilitate product introductions and sales to customers. In the Americas, Pacific, Southeast Asia and EMEA, regions are focused on utilizing social media to expand our customer reach. Our technology platform plays a fundamental role in accomplishing our vision to become the leading business opportunity platform. To accelerate our ability to achieve the vision, we recently engaged an interim CTO to evolve our approach to technology, including transitioning our customers -- transitioning ourselves to a customer-centric digital organization and a cloud-first infrastructure. Our enabling -- on the enabling product front, ageLOC LumiSpa continues to perform well, with strong global consumer demand that is driving customer acquisition, accounting for 11% of Nu Skin's third quarter revenue. It is also contributing to a strong sales leader engagement level, particularly in mainland China and Southeast Asia. As part of our enabling product strategy, we are focused on driving growth in our existing product line by restaging and enhancing some of our top-selling brands. Building on the success of LumiSpa device, we're expanding the product line to include new surfaces and cleansers, such as an acne treatment solution. We're also introducing the new LumiSpa Accent, a specialized eye treatment attachment, and bundling it with Tru Face Idealize. In the nutrition category, our TR90 Body Shaping and Weight Management system generated 22% growth year-over-year, with sales of nearly $70 million for the quarter and continues to play a vital role in building our nutrition business. Finally, regarding empowering programs, we continue to roll out Velocity around the world, with Japan and Southeast Asia launching in the third quarter. This compensation enhancement is focused on accelerating rewards to sales leaders on a daily, weekly and monthly basis, providing increased rewards for the sharing of our products and enabling greater flexibility to appeal to a broader entrepreneurial demographic. From a geographic performance perspective, we're again pleased with the positive revenue growth in each of our reported regions around the world. Mainland China continues to execute well on all aspects of our growth strategy, resulting in local currency revenue growth of 34%, with sales leader growth of 30% and an 11% increase in registered customers. We introduced our new China-specific prebiotic product called Balance exclusively on our WeChat sales platform as well. LumiSpa continues to perform well as part of our beauty device platform in that market. We continue to see strong customer demand of all of our brand -- for our brand and product, and to date, have not experienced an adverse impact related to the current macro-economic issues. Hong Kong and Taiwan posted positive year-over-year growth of 10% in local currency revenue, reflecting strong interest in LumiSpa, which also contributed to sales leader and customer growth. The Americas and Pacific grew 20% in local currency or 9% in U.S. dollars. This region is being driven primarily by strong growth in the Pacific and in Latin America. We remain focused on social sharing as a growth driver throughout that region. South Korea was flat in constant currency as the market prepared for the launch of Velocity and the restage of 180, one of our best selling products in the market. We anticipate these initiatives will drive improvements to customers, sales leaders and revenue in this key market. Southeast Asia continues to perform well, with a 24% local currency growth, bolstered by 23% in sales leaders and 16% growth in customers. This was primarily driven by strong social sharing efforts, ongoing interest in LumiSpa and the implementation of Velocity in most of our markets. While market conditions in Japan remain difficult, we're pleased with the modest growth of 2% in local currency revenue as a result of increased customer acquisition from the launch of Velocity. Finally, in EMEA, it grew by 8% in local currency, reflecting continued social sharing adoption throughout the region. Our social sharing products there, including Powerlips and Insta Glow, contributed to 13% customer growth. So to recap, we had another strong quarter in revenue growth across all of our regions, driven by our platform, product and program strategy. And we are still in the early stages of implementing and optimizing this strategy around the world, which will reflect additional improvements across all functions of the business and improved performance in each of our geographies. I absolutely believe the best is yet to come. Mark, we will turn the time to you.
Mark Lawrence: Great, thanks, Ryan. I will now provide some color around our third quarter results and update our guidance for the fourth quarter and 2018. Additional financial information can be found on the Investors section of our website. Our third quarter revenue came in strong at $675.3 million, a 20% improvement over the prior year and above the high end of our guidance, making this our fourth consecutive quarter of revenue growth of 20% or more. Third quarter revenue was negatively impacted 3% by foreign currency fluctuations. Our core Nu Skin business grew 18% on a constant currency basis, while our recent acquisitions contributed 5%. Our reported earnings per share were $0.94, an increase of 24% year-over-year or $1.01, a 33% improvement when excluding $0.07 in foreign currency translation losses. The $0.07 charge is primarily related to the strengthening of the U.S. dollar against the Chinese RMB and highly inflationary accounting in Argentina. Both of these charges are reflected in the other income expense line of our income statement. Our quarterly earnings per share were also negatively impacted $0.04 by a previously announced purchase accounting charge. Excluding the FX and purchase accounting charges, our earnings would have been $1.05. Gross margin for the quarter was 76.7%, a 60 basis point sequential improvement. This increase was largely as a result of LumiSpa manufacturing efficiencies, sales of LumiSpa consumables and the sell-through benefit of products supplied by our acquired manufacturing entities. These benefits were partially offset by a strong U.S. dollar. Our gross margin for the core Nu Skin business was 78.7%, an improvement of 10 basis points over the prior year. Selling expense, as a percent of revenue, was 40.2% compared to 41.7% in the prior year quarter. The decrease was largely due to non-commissionable revenue associated with our manufacturing entities. Core Nu Skin selling expense was 41.8%. General and administrative expenses, as a percent of revenue, were 24.5% compared to 25.4% in the prior year, as we gained leverage on our overhead due to higher revenue. Operating margin for the quarter improved nicely to 11.9% compared to 11.4% in the prior year. The other income expense line reflects a $7 million expense compared to a $1.2 million expense in the prior year due to the foreign currency translation loss mentioned earlier. During the quarter, we paid $20.3 million in dividends and repurchased $12.4 million of our stocks. The tax rate for the quarter was 27.9% compared to 34.1% in the prior year quarter. Our rate this quarter was positively impacted by the utilization of foreign tax credits. In addition, we saw a benefit from our permanent reinvestment in China mentioned in the second quarter. We continue to monitor the evolving tariffs and trade policies between the United States and other countries. We do not anticipate these tariffs as currently written to have a material financial impact on our business and estimate the impact to be less than $5 million for 2019. Tariffs and trade policies could have a negative impact on currency exchange rates and economic conditions generally, which may affect our results. Our revenue guidance for the fourth quarter is $665 million to $685 million and includes an approximate 4% to 5% currency headwind. As a reminder, in the fourth quarter of 2017, we held an ageLOC LumiSpa limited time offer sales event, which generated $130 million. We project reported Q4 earnings per share of $1 to $1.07, or $1.04 to $1.11 when excluding the $0.04 purchase accounting charge. Due to U.S. tax reform, our tax rate is subject to increased variability. We are projecting our Q4 tax rate in a 32% to 36% range. Our Q4 guidance is adjusted slightly lower than we previously expected due to a stronger FX impact and higher variability in our tax rate. Fourth quarter gross margin is anticipated to be in line with Q3, benefiting from continued cost efficiencies, offset by an anticipated strong LumiSpa sales and foreign currency pressures. For 2018, we are now projecting revenue in the $2.66 billion to $2.68 billion range. This guidance reflects an additional currency headwind of $25 million or an estimated neutral FX impact compared to a 1% currency benefit in our previous guidance. 2018 earnings per share are projected at $3.48 to $3.55, or $3.84 to $3.91 when excluding the projected $0.16 purchase accounting charges for the year and the $0.20 foreign currency translation charges experienced in Q2 and Q3. We expect to provide 2019 revenue and EPS guidance during our Q4 earnings call. With that, I will now open up the call for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Faiza Alwy of Deutsche Bank.
Faiza Alwy: So I guess I wanted to talk a little bit more about China and what your expectation is for the fourth quarter, and as we look ahead into next year, because the comp is a bit tougher in fourth quarter. And I know, Ryan, you talked about a bunch of new product launches. So maybe if you could just address, sort of, some of the timing of those launches globally and specifically, as it relates to China.
Ritch Wood: Yes, thank you, Faiza. Great to hear from you. And just real quickly, and I'll turn it over to Ryan to speak more specifically. We really like the trends that we're seeing in China, and what I'm particularly encouraged by is we're starting to see our customer number increase. We saw a slight increase from Q2 to Q3 and believe that, that will be important as we go forward. And I think we have some real exciting things that the distributors are excited about. So, Ryan, maybe you can give a little detail on our revenue guidance.
Ryan Napierski: Yes, absolutely, Faiza. And as you mentioned, we are moving up against the LumiSpa activities of this past year. We'll be comparing to those in Q4 moving forward. As I mentioned previously, we'll be focusing on expanding our brands and the franchises that we have there. And so, we have a series of improved -- product improvements, including that Accent product that I mentioned as well as the expansion of Balance and a few other product initiatives that are scheduled throughout the year and spaced throughout the year to enable us to achieve the goals we have there. So we do feel like we have good product ammunition there. On the platform front as well, we're really utilizing our technology platform with WeChat. We believe very effectively from a promotion standpoint, and so, that's helping us to Ritch's point, really to expand our customer base there, which is helpful. So we believe that's going to be a good growth driver for us in 20 -- moving forward.
Faiza Alwy: Okay. And could you give us like the sales number for LumiSpa specifically?
Ryan Napierski: For the quarter?
Faiza Alwy: Yes.
Mark Lawrence: Yes, it was about $74 million for the quarter.
Operator: Our next question comes from the line of Olivia Tong of Bank of America.
Olivia Tong: I wanted to ask you a little bit more about social selling because it seems to be working out quite well for you. Like, what percentage would you say is it as a percentage of sales now? And what are the margins -- what does the structure of the margins look like relative to some of the larger products that you have out there?
Ritch Wood: Yes, what we like about social selling is, it's really two things: number one, it gives us a bigger reach to touch more people, really tell them about our products; and then number two, it will facilitate the sale. The tools that we will -- we are in the process of developing, which will facilitate those sales, are beginning to roll out. So Ryan mentioned WeChat in China specifically. There's a KakaoTalk program that we are using in Korea. So those are just rolling out as we speak. I think from a percentage of sales, it's hard to tell exactly because we have certain product that we deem, I would say, we deem as social selling products. We can certainly track what those are. We are seeing more and more, however, for example, our Galvanic Spa that's now being discussed and sold using social media as well as the LumiSpa is probably one of the key drivers. So I don't have a specific number for you, but I'd say we continue to see this adoption and more and more people utilizing social selling, and we're getting better from our side in providing tools that make it easier.
Ryan Napierski: And maybe, just to expand on a little bit on what Ritch described there, what we really love about the platform is that it really does apply to a much broader section of our products than previously designed as we went to those lower-priced products initially that were highly demonstrable. What we are finding that, as Ritch said, the Galvanic Spa, the LumiSpas, even ageLOC Me play very well because they are demonstrably different. And anything that we can show via social seems to be enhanced. And so, it's really a great platform for us to build the full portfolio, is what we're finding.
Olivia Tong: All right. And then, in more of your portfolio shifting towards like the everyday lower priced items. I was wondering if you could give us a sense of what percentage of your portfolio now is in the, sort of, more approachable price point area versus some of the more traditional higher-end items. And as you think about servicing, sort of, as -- instead of transitioning from just LTO to more of an LTO-plus everyday, sort of, items, like, can you talk about how you guys have changed in order to service both of those components?
Ritch Wood: Yes, let me first take a shot and Mark and Ryan can add here. First of all, I would say we are talking more about some products that we've launched that are lower-priced. I don't think they make up a larger percentage of our revenue, so to speak. For example, one of the products Ryan highlighted in his discussion was our TR90 Weight Management Program, which continues to grow. It was a real strong driver of the business in Q3 and continues to be very strong, particularly in Asia. And so, while we talk a little bit more about some of these products that we're launching that are lower priced, they really are not making up a larger percentage, per se, of our overall revenue. The business is still being driven by many of our key brands and really wanted to focus in our -- in the product portion of our strategy is to reinvigorate these brands that have been out there that haven't had a lot of updating and restaging. One other comment, we restaged -- for example, one of our top-selling products in Korea is called Nu Skin 180. And we restaged that in the month of October here just recently over the last couple of weeks. We believe there's a lot of opportunity in our product mix to not just bring new products that are maybe lower-priced but really do a better job of telling the story on some of our key products. So yes, they are -- we're really trying to drive the whole portfolio and not really just focus on, let's call it, the lower-priced products or the higher products.
Ryan Napierski: And I think that really is key, Olivia, as you mentioned, how does it change the company internally? A lot of these lower-priced products act as very good customer-acquisition mechanisms. And then, they -- when they come in, they get exposure to the broader portfolio and some of the power brands that we have. I think how it's impacted us internally, we really are focused, as Ritch mentioned, on driving these franchises over time. And so, these LumiSpa extensions, the improvement to some of these core product brands will be central to our growth strategy moving forward, continuing to invest in those brands that our customers are seeking or find them from, and that's -- you'll be seeing that a lot more from us, a lot more discussion around that in the coming months and years.
Mark Lawrence: And, Olivia, I would add. This is Mark. The core Nu Skin gross margins improved 10 basis points year-over-year. So even with the introduction of some of these socially shareable products and LumiSpa making that a bigger piece of our revenue, our core Nu Skin gross margin was able to expand 10 basis points.
Olivia Tong: Got it. And then, if I could just ask one last question. Is there -- more housekeeping on -- in Q4, can you remind us, is there anything, sort of, one off in the base period, just as we think about modeling Q4 and particularly, when it comes to the SG&A, selling and SG&A expenses?
Mark Lawrence: No, there shouldn't be anything. The only thing that jumps out specifically would be the $0.04 of purchase accounting, which we've called out during the year.
Operator: And our next question comes from the line of Tim Ramey of Pivotal Research.
Timothy Ramey: TR90 growth was impressive and that is, sort of, a brand reinvigoration story. I think I recall you talking about that going to, sort of, a lower price per unit just based on not having to buy a three month supply. But is it lower-priced overall on a, sort of, a daily use basis? That was a fairly expensive product when it was introduced a few years back.
Ryan Napierski: Yes, great question, Tim. This is Ryan. Yes, TR90, definitely a big focus for us and the transformation franchise will continue to be. From a daily use perspective, it is a system, a 90-day system. We do allow flexibility, of course, for consumers that come in and want to buy a 30-day versus the 90-day. So there is that flexibility that's built into it. But as a daily system, it's relatively comparable to other products in the marketplace. We just happen to package it in those -- in the 90-day total. So that's how it's packaged and how it's set today. Again, future plans will be to enhance that and improve it over time with additional value creation opportunities. But as of now, the flexibility comes through the 90-day system being purchased -- being able to be purchased at 30 days or 60 days or 90-day increments in most of our [Technical Difficulty].
Timothy Ramey: And one question I'm asking all the MLMs, I guess. There is apparently this initiative in China to, sort of, measure your digital signature for, kind of, positive social values. And I don't know how much you've thought about that. Is activity on WeChat regarding your products viewed positively by the Chinese government? Is this going to be a contributor to, sort of, the digital signature that any one individual has out there? Are you familiar with this?
Ryan Napierski: Yes, fairly familiar with it. It is an interesting one, isn't it? I mean, it's kind of an interesting way to--
Timothy Ramey: Orwellian.
Ryan Napierski: Personal impact but yes, we are familiar with the developments there. And the positive thing, with respect to WeChat, is that it is very much a market-supported platform and market-valued platform, which is the way the government invest in local businesses there. So the -- our view is that the more that we can work effectively with the local platforms, the more aligned or we will be aligned with, kind of, these larger movements or again, on the macro movements, including this social value one. So I think we feel good about it. We feel good about the partnerships that we have there, both the customer-facing partnerships as well as we have some very good infrastructure partnerships there that are very dialed into local market activity in the digital and central space.
Timothy Ramey: And just, also relative to China. It seems like your piece of innovation may be ticking up there, and that's a difficult thing, long approval processes and so on for new product registrations. Are you finding that your new product registrations are going faster or really, it's just long lead times that are finally coming to fruition?
Ritch Wood: This is really part of the plan I think, Tim. We've operated there for quite a while. So we continue to learn as we go but still likely have a good pipeline of innovation that's now coming to market on a consistent basis and look forward to that continuing really into 2019. We feel like we've got a real good pipeline that will really engage our customers and keep our sales leaders really excited about new opportunities in the business.
Timothy Ramey: Okay. And then finally, we know about the comp with last year in the LTO. Is there any LTO at all in this year's fourth quarter?
Ritch Wood: We really don't have any LTO, and we are not doing -- we are not executing our business using LTOs like we have in the past, Tim. We will be launching new products but they won't be done in a LTO fashion so, for example, the Accent is a new head, a new attachment that can be put on the LumiSpa, which we think is going to be really, really appreciated by our customers. It's for right around the eye area. And so, we will bring that to several of our markets in Q4. The majority actually, in Q1 and then, going forward, for example, Mainland China will be next year. But we believe that's a better, more consistent way to bring product into the market going forward. While it will have some limited sales events, they'll be done differently, and we don't have any significant ones planned for this fourth quarter.
Operator: And our next question comes from the line of Linda Bolton-Weiser of D.A. Davidson.
Linda Bolton-Weiser: I think you highlighted when you read the numbers off that your constant currency sales growth in Hong Kong, Taiwan was 10%, pretty good. But it was quite a bit higher last quarter; I think it was over 20% and it didn't look like the prior year comparison got much harder. So is there something going on there that made that less robust in terms of the growth or can you just give a little more color on that?
Mark Lawrence: Yes, thanks, Linda, for that question. Actually to speak about in Hong Kong and Taiwan, we're very encouraged with these market. These were markets that were on a pretty steady decline for 3 or 4 years as we started to implement our new strategy. So we're very encouraged to see those growing. The difference was, we had a convention in Q3, a regional -- or in Q2, sorry, a regional convention that drove some sales. So that's the difference in. It was actually the ticket sales that ended up causing the growth rate to be quite a bit higher than, kind of, what the core business was doing.
Linda Bolton-Weiser: Okay. And then, can you just -- is there any way to give a comparison of what you think you might be planning for 2019 in terms of numbers of products that are launched for social media selling and how many -- how that would compare to the number in 2018?
Ritch Wood: We look forward to laying out the full 2019 plan at our Q4 release and actually, we're considering doing an Analyst Investor Day at about that same time, probably towards the end of February, where we can go into more detail on what the product plan looks like. You will see us speaking to Ryan's strategy around product doing two things: number one, bringing new product to market; then secondly, restaging and bringing new advancement to many of the key brands that we're selling right now, including the Galvanic Spa. So we'll look forward to rolling that out in detail the beginning of next year.
Linda Bolton-Weiser: Okay. And then, I think you had talked about working on maybe expanding your outsourced supplier base or something for LumiSpa, such that it would start to help your gross margin somewhat. Is that already making an effect on the gross margin or is that still something to come?
Ryan Napierski: Yes, that second supplier will come online in Q4, and we will see an impact and a benefit to the cost of LumiSpa in Q4. But our overall margins in Q4 will be expected to be roughly flat against Q3 because LumiSpa will make up a larger percentage of our total sales and it still does. Even with those improvements, it's still slightly below our average product margin portfolio.
Operator: Our next question comes from the line of Doug Lane of Lane Research.
Douglas Lane: Mark, just starting off on the purchase accounting, the $0.16 this year. I know you'd said before that it is much smaller next year but does it go to 0 or does that go from maybe, $0.4 a quarter to $0.01 to $0.02 a quarter?
Mark Lawrence: It more or less goes away. It's roughly $0.01 a quarter into next year.
Douglas Lane: Got it. Okay. And also, I'd like to talk about Velocity and going to a daily and weekly compensation to go along with the monthly. How important is that? Do you see the daily and weekly components being half, 2/3, 10%? I mean, how much of that compensation line is going to go to daily and weekly compensation?
Ritch Wood: Let me first speak to the overall strategy here, Doug, because it's really core to understanding what we're trying to accomplish. So by going to a very quick reward system, it rewards behaviors we like. So as soon as somebody sponsors a new customer, and that customer purchases a product, they are immediately rewarded with a bonus. And it pops up right on their phone. So while the overall percentage of payout is probably around, let's call it a little more than 1/3, the larger portion is still paid at the end of the month. It's a way to recognize and give our leaders a chance to get paid much more quickly. The other thing it does is create rewards for a lot more people. We're paying today a lot more people that otherwise probably wouldn't be paid under our system. So it's giving a lot more people a chance to earn some income and get excited about the business. Ryan, do you have anything to add to that?
Ryan Napierski: No, I mean, I think you answered the question, Ritch, but I really do just want to stress the point of the flexibility in addition to the speed of the reward. And for us, as we look at being that world's leading opportunity platform, how do we ensure that we're attractive to entrepreneurs of all kinds? And I think the daily and weekly aspects are additional components to our entrepreneurial offering that we didn't have previously due to that need for quicker income. So for us, though the financial impact and the shift of the dollars doesn't change, the appeal of the opportunity changes and people are able to access funds for the work that they do in a daily and weekly basis.
Douglas Lane: Okay, got it. That makes sense. Lastly, looking at the fourth quarter with that tough comparison, I get the impression that you're looking to deliver mid-to-high single digit local currency growth on top of that big number and I don't know if you were but certainly, some of us were looking for perhaps, a down quarter earlier in the year, and I just wondered if you could maybe step back and give us some color on what's come together in the last 6 or 9 months that really gives you confidence in that kind of a growth number on top of the big fourth quarter last year.
Ritch Wood: Yes, I think we spend -- from the beginning of the year, we had forecasted a decline in the fourth quarter. That was part of our guidance. And then, as we've been able to come through the year, our revenues continue to trend strong. For me, what gives me confidence that we're going to have a solid first quarter is the fact that our sales leader and our customer number continues to be very, very strong. So an LTO acts differently because people purchase a higher amount. But it doesn't necessarily move all the core fundamentals of the business. So what's going to drive the growth this year is just core growth in our customer base and our sales leader number that really bodes well, I think, as we come into 2019 as well because that core, that base, is continue to expand.
Operator: [Operator Instructions]. Our next question comes from the line of Beth Kite of Citi.
Beth Kite: I would like to focus a little bit more on Accent and if you can help us to understand some either rough pricing for it or specific just to get a gauge of how it's priced relative to the total LumiSpa offering. And then, since it will be in a couple of markets, I think you said in the fourth quarter, is the U.S. by chance one of those?
Ryan Napierski: Good question, Beth. You're going to love this product. So I won't get into the sales pitch on it exactly but it really is a great targeted product, as Ritch just described it in one of those key areas, lines and wrinklable areas, around the eye. Relative price and, of course, it varies by market, will be in the $100 range with the serum, as we mentioned the Tru Face product. As Ritch noted, we have a couple of markets planned in the fourth quarter. They are smaller markets, the U.S. is not one of them. At least not at this point. Although there is a lot of demand and buzz for that product. So but really, the majority of markets will come online in Q1, Q2 with that product.
Ritch Wood: So quickly, Beth, I'm going to add to what Ryan said. Two key things about this product. number one is, we've sold -- we really have a lot of customers around the world who have a LumiSpa already bought. And this gives them a chance to come back, buy a new attachment that can go with a LumiSpa. But we also believe that will be a key product in attracting new customers as well. So we're excited to bring it. To Ryan's point, it will roll out as, sort of, scheduled over the next six months and the biggest ones to mention would be China, and that will be the first quarter of next year.
Beth Kite: Wonderful. Just jotting all that down. And just in thinking too about LumiSpa and its consumables, I believe that came up earlier on the call a bit. I'd like to just chat, if I may quickly, about consumables for both LumiSpa since I think you're probably approaching a point where some of the gels from the kits have been used, and if so, kind of like -- I don't know if you call it repurchase rates or just what initial purchases I guess of just the standalone gel. What kind of, like, sort of levels of activity are you seeing there? And similarly for me, since it sounds like that continues to be a good product fundamentally, what -- how can you help us understand the cartridges that are being purchased from early device sales of that at this point in time?
Ritch Wood: Perfect. Thanks for that question, too. Yes, in the kits that we sold initially, we gave, depending on which market it was, 2 to 3 cleansers that came with each device. So we knew that, that would be -- the cleansers range somewhere between one month and two months, depending on how often it's being used. So we're just getting to the point now from a timing perspective where people are starting to run out of this initial supply and purchase. So we're encouraged about the trends that we're seeing, which is increases in the consumable and believe that's really key number one to keeping our customers. Number two, it actually improves our margin. Because the margin in the consumables is better than the device itself.
Ryan Napierski: Yes, that's what I was going to add, Beth, is you saw 60 basis point improvement sequentially in gross margin this quarter versus last. And it was really driven by three things: One was the increase in purchase of consumables, which is really the first quarter where we've been able to see that benefit. As you know, we've been working on cost efficiencies of LumiSpa so that also flowed through into the quarter. And then, the sell-through benefit of our manufacturing entity. So you could take that 60 basis point improvement and break it into those three pieces, you'll get an indication of what consumables are doing for our growth -- overall gross margin.
Beth Kite: Great. And is there any context on Me's cartridges that you could offer?
Ritch Wood: Me has just continued to be a real steady product. It's -- where it's having the most success is in China, and China does a good job of really building what they refer to, and we do as well, as this device platform, and they're basically rotating between putting the spotlight on Me and then it rotates to Galvanic and then to LumiSpa and they're really selling those as a way to help drive all three together. Cartridge sales continue to be very steady. I mean, not a real push to it. There's quite a bit of focus right now on LumiSpa. So it's taken a little bit of a shine off ageLOC Me. But particularly in China, ageLOC Me continues to be going.
Ryan Napierski: And maybe the only thing I would add to that regarding ageLOC Me is around the world, ageLOC Me really encapsulates the innovation of Nu Skin. And every market around the world, our leaders, our sales leaders see that, our customers see it in that regard and so it is a key product for demonstrating that layer of innovation in the marketplace. So China relies heavily on it and it is able to move more product as a result of that than some of the others. But it's really a key part of our innovation commitment and demonstration to that principle.
Beth Kite: Interesting, great. Speaking of China, I was wondering if you could offer us an update on the latest thinking with regard to the new plant that you're looking to build there?
Ritch Wood: Sure, yes. So we did announce that we are building a new plant. We have acquired the land for that plant, and we anticipate spending somewhere around $50 million over the next couple of years in the development of that plant.
Mark Lawrence: So we're probably four years out or something before it's actually operational and the spend will be spread across about 3 to 4 years.
Beth Kite: Great, okay. And then, Ritch, if you could just, in my closing question, go back to the initial comment you had about the indoor growing product. Can you help us to understand a little bit more about that? What physically would that product be or what will it go into, some of the ingredients that you'll be growing?
Ritch Wood: Yes, what we're excited about is really it being able to tell the story and have our consumers know about the cleanliness of the ingredients that's going into our product, really being able to control that from the source all the way to the sale. And that product we've been developing that technology for a little over two years. We are to a point now where we can start actually growing and growing at a scale enough to put the ingredient into our product. We will be talking more and more about this technology as we go forward because we think customers are going to demand to know about the cleanliness of their product. They want to make sure that there is no pesticide, herbicide used. They're focused on sustainability around the world and want companies that are also focused on protecting the planet at the same time we're doing our business. So we'll be talking much more about that, particularly at the Analyst, Investor Day and talking about how that's going to benefit our Nu Skin business going forward. We'll have several products and ingredients that we will then roll into our products next year, with one product that we'll be announcing fairly shortly that will roll out soon.
Operator: And our next question comes from the line of Steph Wissink of Jefferies.
Stephanie Wissink: Most of our tactical questions have been asked, but I have a couple of bigger picture questions. The first is just on the manufacturing capacity that you own and what kind of utilization you're seeing. I think you mentioned $26 million in sales in the quarter. How should we think about the scalability of that over the next few years and how you think about the growth contribution? And then, one just follow-up question to the overall comment on lowering the average age of the customer. Curious if you could talk a little more about that, if you're willing to give us some metrics whether that's a worldwide statement or if you're seeing that in some of your larger markets and maybe a lag in some of your smaller markets. If you could just talk a little bit about average age of the customer, that would be helpful.
Ritch Wood: You bet. Thank you, Steph. The whole concept behind bringing these manufacturers under the public company umbrella is really to allow us to control again a piece of our supply chain. We continue to find manufacturers who are purchased by third parties. That disrupts your supply chain and really can create challenges. So our idea was, number one, we could get products to market faster and number two, give the best of innovation and opportunity from these manufacturers. These are really state-of-the-art companies that we purchased, and we're proud of them. They grew, in the quarter, obviously, in the prior year, we didn't have those numbers in our results but those manufacturers grew 45%. Very strong growth. They continue to grow and see great opportunity. They've got plenty of opportunity to scale, plenty of equipment, space that we've expanded recently to give them an opportunity to continue to grow, and we see them growing at actually a very healthy rate, even a little bit higher rate than we see our Nu Skin business growing going forward. So really positive there, and we're anxious to see the benefits are just starting now to flow through gross margin. We'll start to see that even more as we go forward. The second question...
Ryan Napierski: Yes, happy to talk a little bit, Steph, about that, and I think Investor Day will probably be the right time to talk a little bit more about average age in terms of how we want to position that. And you had asked about metrics. We have some internal metrics, but how we exactly should talk about that, we'll think through that, if that's okay, as getting closer to Investor Day. What we will say is, certainly, the growth strategy focusing on the platform, product and program, all three components are critical to attracting a broader entrepreneurial demographic as well as a customer demographic. So on the platform side, social sharing clearly attracts a broader and a younger demographic. On the product side, as we really looked at products, both in anti-aging as well as bringing that down into the, as we enter the cleanse-and-treat arena with LumiSpa, a lot of these social sharing products as well, highly conducive to a younger demographic has helped. And then lastly, under the program's pillar, with Velocity being able to offer a daily and weekly type of gig, for lack of a better term, for younger entrepreneurs who are having other jobs and aren't able to devote as much time. This is able to provide opportunity for them. And so, each of the pillars of our strategy is specifically designed to attract that broader demographic, and it's really helping us at this point. So we'll think more about how to talk about maybe at Investor Day from a metric standpoint, if that works.
Stephanie Wissink: Yes, that's very helpful. And if I could just throw one more in on the interim CTO. We don't usually hear companies talk about interim roles. But if you could just describe a little bit about that individual background, what they're tasked with and then their priorities over the next couple of years, how you expect to really develop a customer-centric model that's slightly different than what we hear from other social-selling companies, so maybe talk a little bit about that too.
Ritch Wood: It's a really good question, Steph, because it hits right to the heart of our strategy. In order for us to accomplish our vision, really become a leading business opportunity where people really come in and be successful, we feel like this is so core to our success. And in order to get there, it's not just internal people. It's partnerships that we have externally that are going to be really important. But we feel like bringing in some high -- some talent that can really help us get to speed in terms of making this transition and having a little different perspective was important. So Ryan, why don't you speak as you're driving this?
Ryan Napierski: Yes, absolutely. And as Ritch noted, I mean, this really is central to our vision on the opportunity platform side. You asked about the interim nature of this. So we do have very capable people within the organization. As we've mentioned in the past, we also have some very good partnerships with leaders in the industry, in the digital space as well as the backend space. We felt it was critical to bring in this interim CTO to focus on transformation in three key areas: People, process and technology. So people, we're talking about the capabilities. In the process, we're really talking about agile development, as you know, and kind of the TDD in some of these methodologies that are applied to digital native organizations. And then, on the technology front, really looking, as I noted, cloud first, how do we ensure that, that scalability, reliability on a global basis? So how to do that. And so, this interim role is really focused on that and powering that. You noted customer-centric organization and how that's a bit -- maybe a bit different. I mean, I do think there's a clear trend to get closer to the customer in any kind of business around the world. We know historically that the company that we're built in, kind of, the server era or previous eras were built to accommodate infrastructure-driven technology, so heavier back-end systems. But with data digital native companies that are really focused on providing customer -- technologies that improve the customers' lives, that's our focus. So it is part of an ongoing process. We've been very focused on it over the past several, call it, 2 to 3 years. I think this will be a real enhancement to our approach as we've brought this new capability in.
Operator: And our next question comes from the line of Mark Astrachan of Stiefel.
Michael Kobrick: This is Michael Kobrick on for Mark Astrachan. I wanted to start with a quick housekeeping question. Implied tax rate in the guidance for Q4?
Mark Lawrence: Yes, we said 32% to 36%.
Michael Kobrick: Okay, got it. And then, on China and WeChat, I want to get a sense of how that differs compared to social selling opportunities. In other geographies, how important and just, kind of, what you think about the total opportunity there?
Ryan Napierski: Yes, yes, I can talk to that, Michael. WeChat, as you may know, China has a very unique tech -- digital infrastructure in that, unlike any other market in the world due to, kind of, governmental factors, their technologies play in an ecosystem, and specifically within WeChat in a very integrated manner. Some liken it to kind of Facebook and PayPal and all of these other vendors all being under the same umbrella. And that's really what WeChat has. They have a very integrated platform that enables both communicate -- communication connection and transaction in a way that's very, very seamless. For us, it's been a helpful tool because our sales leaders build socially and build through those capabilities in terms of connecting with more customers. The WeChat technology just really is a seamless way for us to connect and to transact in a manner that's again, it's just unique to China and China's technology infrastructure.
Ritch Wood: Thank you, Michael. And I think that wraps up all of our calls -- all our questions. We really appreciate everyone joining us today. We look forward to a real strong close of this year and a great 2019. Thank you all.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.